Operator: Good morning, and welcome to Mercer international Second Quarter 2018 Earnings Conference Call. On the call today is David Gandossi, President and Chief Executive Officer of Mercer international; and David Ure, Senior Vice President, Finance, Chief Financial Officer and Secretary. I will now hand the call over to David Ure.
David Ure: Good morning, everyone. I will begin by taking a few minutes to speak about the financial highlights of the quarter, and then I will pass the call to David to discuss the markets, our operational performance, strategic activities and our outlook into Q3. Please note in this morning's conference call, we will make forward-looking statements. And according to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, I would like to call your attention to the risks related to these statements, which are more fully described in our press release and in the company's filings with the Securities and Exchange Commission. As we discussed last quarter, our Q2 results were heavily influenced by the scheduled maintenance program that are Celgar and Stendal mills. This was partially offset by solid pulp and lumber markets, which supported sequential price improvement. Q2 consolidated EBITDA was $60.5 million compared to $99.4 million in Q1. When compared to Q1, our Q2 results were negatively affected by the loss of pulp and energy production along with the direct costs associated with our schedules shuts, the total impact of which we estimate to be about $59 million. These costs were partially offset by higher pulp and lumber prices along with favorable foreign exchange movements. We also experienced some sequential escalation in fiber cost, resulting from the reveneance of weather reduced shortages from Q1. In terms of business segments, our pulp segment contributed $58.1 million of EBITDA, and our wood products segment contributed EBITDA of $6.1 million. As usual, you can find additional segment disclosures in our 10-Q. And Q2, the average European pulp list price was up over $100 of tonnes relative to Q1 while the average price in China was unchanged quarter-over-quarter. Compared to Q1, higher pulp prices positively impacted EBITDA by over $12 million. Our pulp sales volume totaled about 338,000 tonnes, which was down almost 30,000 tonnes from Q1 due to the scheduled downtime. Consolidated electricity sales totaled 110 gigawatt hours, which was down about 138 gigawatt hours relative to Q1. The majority of the lower energy production was due to one of Stendal's turbine's being down for it's scheduled 3-months maintenance. On the wood product side of our business, we sold the equivalent of about $113 million board feet of lumber in the quarter, with about 22% of this volume being sold to the U.S. market. This tot -- this sales totaled was down only slightly from Q1. We reported net income of $16.8 million for the quarter or $0.26 per share compared to net income of $25.6 million or $0.39 per share in Q1. Our Q2 interest expense was flat quarter-over-quarter at $12.1 million, and down from $13.3 million in Q2, 2017, which reflects the benefit of the senior notes rate refinancing completed in Q1. Income tax expense in the quarter was $8.5 million, of which approximately $7.3 million was current. Our current-tax expense continues to reflect the use of our tax assets. And as our profitability grows, we will be using these assets more quickly. Turning to cash flow. Our cash balance increased by about $56 million in Q2 compared to an increase in cash during Q1, approximately $70 million. The increase in cash in the quarter was driven by a net reduction in working capital, resulting from our scheduled maintenance activities this quarter, which we expect to reverse in subsequent periods. Lower accounts receivables were a result of lower pulp sales volume, and higher accounts payables were due to the timing of Celgar shut, which occurred late in the quarter. We stand approximately $29 million during the quarter on capital projects, and David will speak more to that in the moment. Our cash out close in the quarter, also included our quarterly $8.1 million dividend payment. On a trailing 12-month basis, our net debt is about 1.4x EBITDA, which is decrease slightly relative to Q1 primarily due to our rising 12-month EBITDA. Subsequent to the end of the quarter, we successfully extended the CAD 40 million Celgar revolving loan facility on substantially similar terms to July 2023. And you all see from our press release yesterday, our board has approved a quarterly dividend of $0.12 for shareholders of record on September 26th, for which, payment will be made on October 3, 2018. That is my overview of the financial results. And I would now turn the call over to David Gandossi to discuss market conditions, our operational performance and strategic activities.
David Gandossi: Thanks, Dave, and good morning, everyone. I'll start my comments by noting that we're pleased with our Q2 performance. As Dav noted, our Q2 results were heavily impacted by our major maintenance programs. Celgar stand over down for total of 37 days [Technical Difficulty] and there's completed a number of significant hydrogen projects as well as the regular maintenance activities. I'm proud to say that both shuts were completed safely and all primary objectives were achieved. Celgar shut when 11 days longer than planned primarily due to damage identified inside the recovery boiler to require specialty replacement parts. As I mentioned on our previous call, we also undertook a significant capital upgrade to our digestor with the installation of new screens and nozzles for improved pulp washing along with the new chip in feed system. The nozzle and screen work was challenging, but the extra time turn for the recovery boiler allowed us to get the work done efficiently and on budget. Celgar startup was lower than usual due to challenges of commissioning the upgraded digester, but early indications are that the digester update was successful. Our friseau soil mill performed very well as quarter, producing 112 million board feet of lumber on a 2-shift basis, which was up 9 million board feet for Q1. The solid performance allowed us to achieve about $6.9 million of synergies so far in 2018, primarily between fragile and a Rosenthal mill. For compassion purposes, we achieved $700 million of synergies in all of 2017. Turning to our markets. The pulp markets remain tight through Q2. In Europe, Q2 list prices averaged $1,200 per tonne compared to $1,097 in Q1. European market is particularly strong with limited spot tonnes available and as result, we continue to see upward pricing pressure. July's price is $1,230 per tonne, and we expect steady prices in August, which is traditionally a slow sales month. In China, the Q2 average price was $910 per tonne, which was unchanged from Q1. July business in China transacted between $880 and $910 per tonne on a net basis. We expect August prices to be slightly lower given the traditional summer slowdown. We continue to believe that the tightness in the pulp market is reflecting steady demand from paper producers, combined with constrained NBSK supply. In addition to this macro situation, there are other factors we also see influencing the markets. I have discussed this before on calls. But for completeness once, again, producers in inventories remained very low. We are seeing increased levels of unscheduled downtime throughout the industry. And we are currently in the middle of industries major maintenance window. China's recent environmental initiatives, that include the closure of hady pluding, agricultural base pulp and paper mills along with limitations on the import of recycled fiber are all combining to create a norse of the supply tension in the market. We are continuing to monitor the recent NBSK capacity additions, incremental capacity, that's comes online in the last 2 years, has so far not negatively impacted the market. The SCA expansion has been completed, and that mill is back in market. While supply demand conditions feel tight today, some are often brings a softening of pulp prices as paper producers take seasonal downtime. Lumber markets continues to be very strong, prices in the U.S. have come off in late part of the quarter due to seasonal influences as supply began to catch up with demand. The prices are expected to remain relatively steady through Q3. The random length U.S. Bank March for Western S-P-F #2 embedder, averaged $601 per thousand board feet in Q2, which is up roughly $90 from Q1. In Q2, 22% of our lumber sales were in the U.S. market with the majority of the remainder of our sales in the European market. Despite the recent price softening in the U.S., the European lumber market has continued to experience steady demand and strong pricing. Overall, our realized average sales price was $433 per thousand board feet in Q2 compared to $418 in Q1. In Q2, we experienced slightly higher fiber prices relative to Q1. In Germany, low fiber inventories carried over from Q1. And although harvesting levels improved, increased demand from the board industry kept prices up. In Western Canada, similar low inventory conditions exist as a sawmills are focused on harvesting sawlogs rather than pulp logs. Looking forward, we expect wet prices to decrease slightly in Q3 as harvesting continues to improve and allow us to access lower cost wood. As we've mentioned on previous calls, we have an attractive CapEx schedule plan for the balance of 2018. We are currently in the process of investing almost $40 million in our Friesau sawmill to improve our lumber yield and grade outturn with modifications mainly dollars to the sawline so far. Construction of the new planer will start in October and will be completed in June of 2019. Phase 2 work on the sorting lines will commence in October with completion on the first half of 2019. In Q2, we also invested about $14 million in our Celgar mill included these investments are the previously mentioned update for the digester as well as pulp machine upgrades. These investments will improve the mill's production rate, reduce costs and eliminate bottlenecks. Company wide, we expect to spend about $90 million on CapEx in 2018. In addition, we continue to expand our customized railcar fleet in Germany. This railcar program is a continuation of our initiatives to replace shorter-term equipment leases and rental agreements with much more efficient equipment. We expect to see the first of the next 300 new railcars in early 2019 and all 300 are expected to be delivered by early 2020. I would also like to remind everyone about the timing of our annual new maintenance shuts for the balance of the year, as usual we will complete Rosenthal 14-day shut in Q3 followed by a 3-day short shut at Stendal in Q4. It has been about a year since we acquired the Friesau sawmill. And I'm pleased that we've been able to ramp up our lumber business ahead of plan and that we're realizing significant synergies between our solid wooden pulp businesses. And as a result, Friesau was generated substantial value for shareholders. And I'm confident for upcoming targeted investment in Friesau will generate additional value for Mercer shareholders. This quarter was highlighted by significant investments in our assets, which were focused on increasing our efficiency, productivity and lowering the risk of unplanned downtime. Those investments are consistent with our long-term value creation strategy of our core competencies to deliver results for shareholders from world-class assets and building a platform for sustainable and profitable growth. Our team continues to focus on growth opportunities. And a disciplined approach to growth is framed by Mercer's core competencies, which include NBSK and other grades of pulp, with products, with derivatives and extractives as well as being energy in biochemicals. It is these core competencies that will drive long-term value creation for shareholders. That's conclusion of our prepared remarks. So I'll now turn the call over to back to the operator, so we can open up for questions. Thank you.
Operator: [Operator Instructions]. Your first question comes from Sean Steuart with TD Securities.
Sean Steuart: Couple of questions to start. One of you can speak to markets in China, specifically. And it sounds like there is pressure on the resale prices. And, David, I'm wondering if you can give some context to, I guess, paper downtime in China. And how much near-term demand destruction there's been and that market potentially as a function of prices for pulp pricing and faster than prices were paper in that market?
David Ure: Well it feels like a normal summer in China to us. New traders kind of take a holiday. A lot of paper guys are taking downtime. So it's almost just not a good time to really try to push any transactions. We don't have really much pulp to sell this summer to be honest. We had a 30,000 tonnes unbleached craft run going into the shut at Celgar. And then we completed the shut we're making the pulp now, but that will take a month to get to China. So it's -- if we were going to be selling -- if we want to sell a full month's production in China today, we'd probably be down $40 or $50 from where we were a month ago. We will be, by the end of the summer, I don't think it would likely be any lower than that. As you get into September, the market tight enough and the inventory is low enough that, all the guys come back, they need to fill the warehouses again to get back to business. Pulp prices should remain at that level or improved. So I kind of see it is a soft summer Deb. I'm not really, really concerned about. It's -- may be another factor that's important to understand is that over the last 18 months, I think Chinese papers producers have been quite successful raising prices for -- of the paper products, probably more so then European producers. And especially, the challenges typically feel most on the tissue side, where -- it's typically twice a year that the tissue producers negotiate prices with their customers. But in China, I think, the moves have been so quick that they've just are feelings that these guys very successful keeping up with the pulp price movements.
Sean Steuart: And further to that, David, I guess over the midterm, given any thoughts on speculations about China imposing duties on U.S., imports from the U.S. on pulp and paper. And how that could in fact, pricing in that market over the mid- to long-term?
David Ure: Yes. It's interesting time for sure. And I guess we don't really -- it's possible to know what will happen. But one of the things we should reflect on I guess is that it is a trade -- tariffs are imposed on products coming from the country of origin, right? So Mercery doesn't have any pulp production in the U.S. per se. China doesn't have any NBSK production. It gets most of its products from Canada or from Europe. So they're not going to put a tariff on Canadian pulp, I wouldn't think. That actually sells in a foot. U.S. pulp on the other hand, which is predominantly fluff, southern soft wood. If there is a tariff place on that in China, that would limit the ability of southern fluff producers to run their mills without really insisting on higher prices I guess or taking huge margins head. So challenging for them, but net for us, probably, a positive.
Sean Steuart: Yes, that's what I was trying to get out, trying to understand the potential magnitude there. Last question for me, you mentioned interest in potential growth in biochemicals. And Russia was associated with a potential Sandalwood plantation and refining acquisition opportunity few weeks ago in local press. Can you give some context on the scale of your potential growth ambitions in that product line.
David Ure: Yes, well that particular -- I mean there's a lot of things that we're looking at. As everybody knows, and it's have to be careful before the disclosable. But there is that press in the market so it's true. We've been chasing a Sandalwood plantation situation. And in northern Australia, there is couple of them out there. We've been working on both of them. The one that we're currently active on -- I would categorize, is not really material from a -- an invested dollar perspective. But something that's super exciting for longer-term value creation. Sandalwood is an exotic tree that is traditionally Sandalwood products have come to marketive -- traditionally, from illegal harvesting activities. That growing stock is down to less than 10% of the what it was just a short 10 years ago per se. And plantation Sandalwood will become the new supply as the legally harvested wood is pretty well eliminated. And so having a fairly significant growing stock that will previous value down the road, is kind of option value at the stage for shareholders. It's not -- just as I say, it's not a big capital outlay, but it's getting our foot into -- our toes into a business that we think we can grow as it's a platform for growth. And really, when you think about our core competencies, how this relates to that, it's taking a growing stock, adding value through a downstream processing and marketing. And a Sandalwood plantation today that is coming onstream is, it's difficult to value the growing stock but there's a lot of it, and it's a lot of value. It just comes of years down the road. So that's what we're trying to do on that particular one. It's not a done deal yet, but it's something that has been linked to the press or something we are working on.
Sean Steuart: Can you give us some perspective on potential scale of that opportunity? I guess in terms of dollars committed for you guys, potentially?
David Ure: Yes, let's as I said, Sean, it's not material from an investment -- invested dollar perspective. But it is very material from a value creation. And I don't want to -- it's too early to be throwing those kind of numbers out. But it's something that's quite exciting to us.
Operator: Your next question comes from Hamir Patel with CIBC Capital Markets.
Hamir Patel: David, on the maintenance front, Q2 is obviously, very heavy. Given the timing of the shut, is 2019 still looking like it should have significantly less maintenance then 2018?
David Gandossi: Yes, yes, that's right, Hamir. So Standels on 18-month rotation as you know. So that will eliminate a number days for 2019. There's to be 2 small shuts but not a large one.
Hamir Patel: And for the two other mills?
David Gandossi: That will be normal 12-day shuts as far as we know at this stage.
Hamir Patel: Sure enough. But, David, just given the investment that presale, is that change how you think about potentially, building a greenfield lumber mill at Stendal?
David Gandossi: No. I see us building a platform in Northern Europe, 2 to 3 mills, possibly 4. And stendal is an option. We're getting fairly far along on our feasibility studies and preliminary engineering. And there is tremendous synergies to build these general Stendal sawmill. But there is also -- we think opportunities to get existing capacity that you don't have to wait 2 years till you build it. So we're focused on both. And I'm hopeful that we do both in the performance of time.
Hamir Patel: And, Dav, any thoughts on how multiples in Europe Friesau recommended sinsuated freesales.
David Gandossi: Well it depends on the situation. There's not a lot of transactions to pit to. I think multiples in Europe would be similar to multiples of other transactions you've seen. I don't think Mercer certainly wouldn't be buying on the high end of the multiples we've seen in the U.S. recently. But we're looking for situations where we can create value. And so be careful I don't get too far infront of this as well.
Hamir Patel: Fair enough. Just final question for David. Could you run through the production and shipments by mill in the quarter?
David Gandossi: Yeah , sure. So in thousands of tonnes, production by mill for Q2, Rosenthal was 91,000 tonnes, Stendal 140,000 tonnes and Celgar 79,000 tonnes. And in terms of sales, volumes, Rosendahl 91,000 tonnes, so matching production, Stendal 140,000 tonnes, and Celgar 107,000 tonnes.
Operator: Your next question comes from Samuel McGovern with Crédit Suisse.
Samuel McGovern: Just to sort of think about the impact of the downtime during the quarter. Anything you guys have $61 million after that impact as you to $69 million before the impact of downtime. Is it as simple as just adding the together $220 million proforma figure backup the impact of the downtime?
David Ure: Yes, that's right. That's right way to think about it.
Samuel McGovern: Then as you sort of thin k about the normal maintenance downtime, I need your segments. How would that EBITDAs breakdown. what would the impact of the downtime be split out across two segments?
David Ure: You mean by mills or?
Samuel McGovern: Yes, that's right.
David Ure: Yes, the EBITDA will impact on Stendal was actually a little larger than Celgar. So that would be about 32 for Stendal, 26 for Celgar.
Samuel McGovern: Got it. just thinking about the capital allocation, you talked about potentially spending on lumber mills in Europe. How you think about, how you plan to allocate the cash flow that you guys will be generating. Obviously, you guys have already de levered pretty substantially. I know you guys have announced the dividend. What other things are you guys thinking in prioritizing?
David Gandossi: Well, so there is -- I started the -- to develop this theme on the last call. There is a number of things we are focused on. One is our sawmill platform in Europe. And I spoke a little bit a few minutes ago about that. But just to clarify that, it's -- with the pulp capacity that we've got in that market. And if we buy bills sawmills, the synergies are tremendous. I mean the -- it's the location of where the chips are produced, it's the waste heat that's being used and the cilms. It's just the whole infrastructure. So there is fiber synergies, there is operational synergies and so on. But there is also really strong fiber market strategy in there. So as you all know about our railcars and our strategy of bringing an importing woods and flooding it into the domestic market to help to temper the price of industrial wood in the domestic market, where we buy our pulp mills. If we do the same thing with sawlogs, we just have so much -- such a strong relationship with all of the harvesters in our region. And we have the capacity to bring in imports that, to some extent, we're able to normalize prices in our market. Then if you imagine somebody we're competing within the sawmilling business in that region, or somebody who might think they want to move in or compete with us. Rather than paying -- as you -- when you buy wood for facilities beside of pulp mills, you've always got a marginal cost curve for wood, you got low cost wood, you've got some high cost wood, which is an average cost of the wood. So if our high-cost wood today is coming from Poland, Eastern Poland or Eastern check. And we want to compete with somebody in our market, we just instead of buying high-cost wood and importing it, we can put the pressure on the wood basket in the area of the sawmill that we're competing with. So it sounds a little harsh, but that's what happens when you have a platform, that's got enough capacity that you start to control the market. So that's what we're building in Northern Europe. And Friesau's a big fresh start, Stendal is option #2. And that option, Stendal, also creates options with others. So that's kind of the strategy there. Another wing is to, there are pulp mills we've been focusing on our long-term planning for the mills for the last several years. And those plans are gelling into production creap capacity, opportunities for us. And as I mentioned, on the call, last time, we believe, we've got about 150,000 tonnes of incremental capacity coming from the combination of the 3 pulp mills that we're running. And those are all high-return capital projects opportunities, so that would be 150,000 tonnes with better than a 3-years payback is, what it's look like today. And the next ring is M&A. As I mentioned, and so we're very active looking at all situations, including sawmills potential, pulp acquisitions, biochemicals situations and so on extractives. And it's just a question of being really disciplines, so that we don't pay a price that's like taken a bet on the current strong conditions that we're operating in. Like we take a longer view and think about cyclicality and prepare ourselves that when we make an acquisitions, we're comfortable with it. and that's it going to create value over the cycle.
Operator: Your next question comes from Daniel Jacome with Sidoti & Company.
Daniel Jacome: I had a quick question on the lumber operations. May be I'm being [indiscernible], just wondering, it looks like 22%, you said, was shipped into the U.S. in your total capacity of production out there. I think 1Q was 27%, so maybe -- just let me -- some color on what drove that kind of quarter-to-quarter change if I look at kind of random length to the U.S. lumber prices were up alto higher in 2Q versus 1Q. I think like $540 2Q up from $484 average pricing in quarter immediately preceding that. Was it just something with transportation or at higher returns? And how should we think about that metric going forward? It kind of like the mid-20s, kind of a base line to use. That's all I had.
David Gandossi: Yes, so good question. Our approaches to allocate roughly 25% of reach out to the U.S. market, we're right in the middle of central Europe, where we are. And Europe is a -- I guess if look at it over the longer term, it's been a much less volatile market in the U.S.. It's a strong market, good pricing. And our customers are very close to us. So the U.S. market is marginally better, but the European market is also very good for us. The part of the consideration is, there were grading issues in the U.S. generally for European lumber starting in the fourth quarter of last year. All European lumber producers faced that situation. And really, what it is, it is the traditional European split stock that, which is 2/8's been cut into 2/4s in the planers, which is very common procedure, produces the creature risk of the spike knots. These are the notes that you can't see from the very center of the tree growing out. And U.S. grading guys have -- that they really kind of focused on that, feels like for the first time in the fourth quarter. So as I say all European producers got caught up in that. So Mercer, because we're really focused on building a strong brand in the U.S., we just pulled out all split stock, and say, we're not even going to take the risk. And so we don't have any grading issues. There at the point, we did have some preliminary issues when we were first getting started with this splits, when the issue was being identified. But we are very proactive. Pull back really improved our quality control, eliminated the splits going into the U.S. and focused then the rest of the production on our strong European markets. Some of the capital work we're doing, which includes improved optical scanning and the ability to cut different saw patterns, which don't require producing split 2x4 from the center of the log will eliminate that issue and provide much more volume for the U.S, should we want to let the club outs and so more in that market.
Daniel Jacome: Okay, that's helps. So with your average realized pricing, lumber was 433 assuming the U.S. was 540. And I'm starting back into the European only, lumber. Am I in the ballpark with kind of low 400s per thousand board price?
David Ure: Yes, I think so.
Operator: Your next question comes from Andrew Shapiro with Lawndale Capital Management.
Andrew Shapiro: A few questions here on the CapEx and some of these more strategic investments. I think you updated us in the status of the sawmill product to be considered near the Stendal. What's the status of the overhauls for one of the electrical turbine's. I think it was Stendal or Celgar. And the reduced revenues that were encountered during that process. And how many and when would there be more of these once in every 10-year turbine overhauls?
David Gandossi: Yes. So that's TG 1 at Stendal, is down for its revision. And in the maintenance stallers that we were talking about earlier, the lost energy revenue from that upgrade in the quarter was somewhere around $10 million. And it's about $4 million left to go for Q3 on that turbine. Celgar's had a turbine revision going on as well. And that is coming back up, we think, in early August. So not that big of hit for this third quarter. It's a -- it would be sort of $1.5 million a month, I guess, but turbine would take us down.
Andrew Shapiro: So how turbines are at Stendal. I think it was open, I guess I've been here for that many years before Stendal was even open.
David Gandossi: Yes. We put the second turbine in the Stendal in 2009, '10 timeframe. So that will, probably, I guess it was probably, 3 or 4 years from now. And Rosendahl got a turbine that will be going through it. So it's long-term revision in 2021 or 2022.
Andrew Shapiro: And since, I guess, I've been around for as long as -- the rumored investment in Australia sandalwood was discussed, of course, is a long-term opportunity. I wanted to know if you can update us on the nano's cellulose joint venture investment made a long time ago with a resolute, and what is coming of that?
David Gandossi: Yes, that's performance by philmant send. That's again a long-term value creation initiative. So for shareholders who aren't familiar, that was a $3 million commitment that Mercer made, along with a $3 million commitment by Resolute. So it's 50-50 joint venture. It has its own team, and its business purpose is to develop commercial applications for cellulose filaments. And the -- it's a -- I'd say, from our perspective, it's going very well. There are quite a number of very interesting attractive initiatives where the value to the customers appears very clear. There is -- we have access to production facilities, and we're expecting in the fullness of time that will -- could be very significant value creation initiative for us. It takes time, so these things all need to be pattern protected as you develop the applications. So you can imagine there is always a long work step with the potential customers. This is a -- this will be a -- like a chemical product that's provided to a customer, that allows him to achieve superior performance at lower cost on whatever the products how he's making. And we need to make sure that we're the only guy that can do that with him, supply and with that material. So we will have sales in 2019, small amounts of sales as these customers ramp up the use of the equipment -- fiber. And we see that is kind of like a slow and steady ramp up business. Some of the applications seem very interesting, things like additives to fracking muds and additives to concrete, for example, could be potentially huge volumes down the road. But as I say, we have to take it a step at a time.
Andrew Shapiro: Okay, then two last ones here. Are you -- you did 20,000 to 30,000 tonnes -- thousand tonnes of batch of un black bleach pulp for China. Can you describe what the -- if it's quantifiable the favorable impact in any future plans or opportunities to produce them bleached again?
David Gandossi: Yes, sure. So there was a number of factors going on there. So what the recycle permit challenges in China, we saw some pretty heavy demand for unbleached Kraft. In fact, We had some Chinese customers asking us if we could do a run. We have a -- at the same time going into the shut at Celgar, we're doing some retiling work in one of the bleach towers, the DO tower. If you have to retiling in a short -- shut window, it's more expensive than if you can spread out the time a little bit. So we thought if we took the bleach plant down for a next or couple of weeks, that will give us ability to do that capital work at a lower cost. And then when you're -- because you're not running the bleach plant, you save about $80 or $85 of chemicals. And also because you're not bleaching and putting the pulp through O2 dulcification, you got a better slightly yield. So all in all, we sold that unbleached that add net $80 a tonne. And our bleach pulp was going for somewhere between $880 and $910. So when you put it all together, it was a really successful run for us. Not sure when we'll do it again. It depends on market conditions, and we do really want to maintain a strong partnership with our existing customers in China. So we don't want to be doing this too often. We want to be a reliable supplier for them. But on occasion, it may make sense for us depending on market conditions and other things that might be going on at the time.
Andrew Shapiro: And then lastly, what's your plans for upcoming investment presentations non deal, et cetera in the coming months?
David Gandossi: Yes, we got a quite a bit going on. I'm going to be at the Jefferies' conference in August. There is also a TD 1 there coming up. We've got -- we'll be at Sidoti. David?
David Ure: And then, we're also planning a couple of non-deal roadshows in September and October in East Coast of U.S. and in Canada as well.
David Gandossi: That's right. So we'll be going out with RJ in Canada and the CIBC in New York and Boston.
Operator: Your next question comes from DeForest Hinman with Walthausen & Co.
DeForest Hinman: Just maybe asking kind of a question similar someone else. Big picture base is, the company is always being kind of hard to analyze because a lot of moving parts. But you have the interesting situation in second quarter. You guys are put the pencil and paper and break out the expense related to Celgar and Stendal. You had to add back all of those numbers just on that segment. [Indiscernible] going to get number. On the EBITDA side, it's like $110 million. So you divide up by 90 days in the quarter, it's like a $1 million a day. So if we have kind of pencil of the paper steady-state environment, if it's three mills of running, they make over 100. The make of $1 million a day, is that a good way to think about the business right now?
David Ure: Exactly. Yes. And I said the first, I said just -- mention just to be really clear that the reason we break it out so carefully is that we're one of the few pulp guys that report under U.S. GAAP like you, the Canadians use IFRS. And so what they do with their maintenance shut dollars is they capitalize them, and then the amortized them to the next shut to depreciation, amortization line. So you never see it in EBITDA.
DeForest Hinman: And so we'll talk about that $1 million more. May be pricing, at least right now, in July, up a little bit versus where it was in the second quarter. And it sounds like we have expectations for following fiber prices. so $100 a day paper, it could be a little higher end to the quarter?
David Ure: Yes. We don't typically give guidance. But the way the market looks to me today, I think the back half is going to be a boomer.
DeForest Hinman: Can you go a little bit in more detail on what happened with the boiler? What was the issue inside when we got inside and looked around?
David Ure: Yes, there is always -- these sort of things are pretty common stuff. The technical thing is, inside a recovery boiler, our devices called siplers, these have -- there are nozzles that rotate if they got steam that come through. When they blow, they blow the salt cake off of all of the piping in the various areas of the boiler. And if they can get misaligned or have any kind of malfunction during the period, they -- salt cake can build up in the boiler. So we had a big build salt cake build up in one corner of the boiler up high. And as that salt cake fell down, it dented the floor. And so when you go through the maintenance shut, you cool your boilers down, you clean them out and inspect all damage to all your fitness tests and fair wipe. In this case, we looked at the impact of that event and decided to replace the floor pipes in question. And that requires ordering additional pipes, reverse engineering, the exact shape of the mall and shop in Edmonton. And they're lifting them to the mill for installation, which is really what took the after 11 days. It's not a hugely expensive thing from the scheme of things, but it's just -- it's very finicky work that has to be done precisely. And of the guys did a great job of expediting that all procedure. And it's important to do that as recovery boilers are sort of the heart of the mill. And we expect to have our boilers in great condition at all times.
DeForest Hinman: So is that more or just the context, was that more had to do versus nice to do on this shot?
David Ure: Well from a Mercer's perspective, it was a must do. I'm not sure every operator of put mills would've done it the way we did it. We tend to follow best practices always. But it's one of those things -- it doesn't change the performance per se, but it protects the assets over the long-term.
DeForest Hinman: Okay, understood. And then on Celgar, you mentioned briefly some of the investments made there on the digester and the screen. It sound like we were rented up slowly. But can you help us understand how it's running in July, either weekly production level or how is it performing versus prior to that investments?
David Gandossi: So the objective of the investment in the digester is to, one is the in feed. So we were running that digester. We are putting is chips as fast as the equipment allows us to put them in. So it was physically a bottleneck of the top of the digester. Couldn't squeeze anymore and faster. So we changed the infeed system including a new chip then the end of the top, which -- and a screw with -- screw feed system, which allows us to -- we can put all the fiber into the digester we want. So that bottleneck eliminated. Then the next bottleneck is that the digester had a limitation on how well it washes the pulp. And so we've done something we have this exact same procedure done at Rosenthal a number of years ago where you put -- we put about 14 nozzles into the base of the digester and 1/3 layer of screens, which creates a whole -- just really improves the washing at the bottom of the digester. So by improving the washing, you're taking out a large organics that aren't going to be pulped down at the end of the road. And you're removing that with your filtrate, which gives you what we call, a better dilution factor coming out of the digester, which enhances the performance of the bleaching and the O2 to leg. It's cleans the pulp better, reduces the bleaching cost, and it also enables you to cook your pulp, more pulp. So it's -- the challenge commissioning, it is really -- it's just that it's all new. Like when you're -- I digester hits like a heart, it's growth also things going on and the operators have to learn a new way to run basically all the DCS systems have been revision for new procedures for running. It's just a different with all of fates a washing. So that they just have to learn how to run it. When you typically start slow and keep ramping it up and drew ran by to some extent. We've had -- we've run that digester for a period of about half a day and 1,650 the rate of 1,650 tonnes a day, which is a great, great. So we know the digester is the bottleneck. We also seem dilution factors of partially coming out of that thing. It was negative before so from an equipment standpoint whom renders all objective achieved and it's just a matter of learning to read better. And that will come and it is happening already. The second reason for that was done during the short was a lot of careful thinking and planning went into it but we put quite EBITDA effort in the drying machines and so we have seen since the short we went running the speeds of those things. We have got to machines there. P.m. M1, which is used a rent summer around 90 meters minute. We've run that at a 130 now for a period of time trial with no issues. And we've got PM1 that runs up in the 185, 190 range. So to put it in perspective, if you're running at 180 and 100 on two machines, sucking a high-density storage tank down very quickly, which is -- means the machines are actually able to run faster than the digester at the moment. So that's we call the spin capacity. So we got two really big improvements that were successfully completed during the shut that were.
DeForest Hinman: That seems like that's very technical explanation and in layman terms, were you think [indiscernible]
David Gandossi: That puts us a target on 490 tonnes a year that I was describing as the objectives. And also sets up for the next phase of capital for Celgar that we feel will take that mill to 540 and that's in the works.
DeForest Hinman: And then last question just one talking about capital allocation but you didn't mention the previous metrics in terms of returns, three-year payback. We still going to hold ourselves to that return rental as we look at these different opportunities between organic and inorganic investments?
David Ure: So on the internal high return projects, yes. So pulp mill products and summer projects for discretionary capital and we got lost of our mention. For M&A year ago to let the club a little bit search three-year payback know a realistic target for MD&A. But when we think about asset from an M&A perspective we think about where you have to pay to get the asset. What would we do with the asset. What growth it become and how much would it cost to get it there and when we look at long-term holistic view in making our decisions.
DeForest Hinman: May be. Shareholders are getting spoiled I mean Friesau it looks like going to be pretty fast. Led make yes, it was a great first step for us, for sure.
Operator: [Operator Instructions]. Our next question comes from Joe Pratt from Stifel.
Joseph Pratt: Hi Dave, can you walk me through the uses of cash. I'm thinking it's interests around $50 million?
David Ure: Yes, that's right, Joe.
Joseph Pratt: Okay, and then cash taxes?
David Ure: So I think you are looking for annual numbers there are, Joe. So interest is typically around $50 million, cash taxes would $12 million, $15 million.
Joseph Pratt: About $15 million?
David Ure: Yes.
Joseph Pratt: Can you break the CapEx number down by and the pulp mills?
David Gandossi: So on an annual basis -- so you'll recall the Friesau, we're in the midst of a pretty extensive high returning CapEx program that will probably total over the next 2 years, $40 million. And MNP care OpEx is quite small, but close to immaterial.
Joseph Pratt: So does that means $20 million in 2018 for Friesau?
David Ure: Closer to $30 million.
David Gandossi: Yes, probably a little higher than that, Joe.
Joseph Pratt: Okay, let's call it $30 million. So how about the pulp mills. What's the CapEx number there?
David Ure: $20 million, round numbers.
Joseph Pratt: $60 million. Okay. So those are any use of cash going out the door. So $15 million for interest, $15 million for cash interest, $60 million for the pulp mills, and $30 million for free Friesau?
David Ure: We have our dividend, that totals about $32 million
Operator: There are no further questions. I turn the call back to presenters for any closing remarks.
David Ure: Okay, well thanks everyone for taking the time to join us today. As usual, if anybody has -- after the questions, don't hesitate.
David Gandossi: Either Dave or myself, we'll always happy to take your calls. Have a great day.
Operator: This concludes today's conference call. You may now disconnect.